Operator: Thank you for standing by, and welcome to the IGO Limited Q4 FY '25 Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Ivan Vella, Managing Director and CEO. Please go ahead.
Ivan Vella: Thank you. Good morning, everyone. Thanks for joining the call. Welcome. As per usual, Kath Bozanic, our CFO, is joining me for the call. There's a bit to cover in the update. I guess we'll start by just recognizing some really strong operational performance with -- at both Nova and Greenbushes, and we can dive into that. But I think most pleasing for me personally, at the top of this call is really calling out the safety improvement across the operations in IGO. As you know, this has been a significant focus since I started in my role. The team has done tremendous work. Naturally, there's always more to do, but I'm really pleased to see the step-change and continued improvement in our safety culture and the results that are flowing through. What's also been a big feature in this quarter, of course, is the volatility in the lithium market, which I don't think is new to anyone or a surprise to anyone. And I'm sure we'll talk a bit about it, get a range of views. I think that's probably the most interesting thing to me is just the diversity of views across the industry, analyst commentators and otherwise on the subject. And it shows you just how difficult it is to pick what's still an immature market growing very rapidly with lots of different forces pushing on it. It's been a cold few weeks here in Perth. For those of you who are visiting for Diggers next week, you probably had a bit of a sense of that. Certainly, you would say unseasonably cold, and I think we actually had a day the other week, which was a record for 15-odd years or something. Some people are calling this the end of the lithium winter. So we'll see. I suspect it will warm up in Perth a lot before we see a real shift in the lithium markets, but that's something we can certainly dig into. Overall, as I said, a strong operational quarter across Greenbushes and Nova, and we'll explore both, obviously, for different reasons and different drivers. If we jump into the results summary, I'll just touch on the headlines first. The key point I wanted to make, as I said, on safety, I'm going to talk to in the next slide. So I won't spend too long but a real step in improvement there. And we've seen that right through the FY '25 period as the team has done their work quarter-on-quarter, and we've lifted performance. For Greenbushes, look, the key headlines, solid production. There was some impact from some unseasonably wet weather. In fact, June was as wet as it's been in a long time. And I guess this is the world we live in. It is volatile. We had a couple of dry winters the last few years, and this looks like it's been -- it's going to be a very wet one. They had some lower grades, a few other challenges, but still ultimately delivered well production-wise and a very strong margin. You can see in the chart there 60% EBITDA for the quarter which is just outstanding given where we are in the cycle. Sales was a big catch-up. And I think I've said this in the last couple of quarters, look, that will go up and down with the Bunbury port, and just the movement of material is really not much more to see than just a logistics flow, trying to get the volumes out and managing that with shipments and other congestion at the port, but it's good to see that the team closed out the year, moving a bunch of that inventory on. And I guess we'll dig into the rest of it a bit further. At Nova, a whole range of operational improvements and focus on how we manage the extremities of the ore body has paid off through the second half of the financial year and obviously, particularly in the last quarter. It's great to see the team meet guidance. They had a very, very tough start, as you know, in the first 2 quarters. And I think I got their arms around some of the challenge, changed a number of things in the way they were operating and have delivered. That gives us obviously more confidence with our guidance and the focus looking forward to the end of the mine closing at the end of 2026. We've also really ramped up our focus on closure planning. As I mentioned in the last quarterly, that's something that we expect to go straight into. We don't see any period of care and maintenance, ideally. And that means there's a lot of work to do to get the feasibility done, understand all of the work and have that ready and approved so that we can step into that straight after we close up the operations. Kwinana, look, key headlines is they had a better quarter, but still a long way short of expectations and a number of issues, again, with equipment, which has affected their production. Costs, proportionately were lower on a unit basis based on that increase in production, but still obviously make it very, very difficult to generate any real value given the market. What, I guess, is the standout there is we have indicated that we expect to take on a further impairment, taking out the full value of Train 1, that's being assessed and we'll finalize that through our annual results. And a couple of other bits and pieces we'll pick up at the end from a corporate point of view. But look, let's dive into safety in a bit more depth. As I said, with something we've been working on, obviously, had a personal focus on this since I arrived 18 months ago, and the teams had a focus of improvement here regardless to drive a sustained improvement in our safety performance. And what's so pleasing is now really starting to see that come through quarter-on-quarter. You can see in the chart that we put in that step-down in the quantum of injuries and obviously trailing that the 3-month and 12-month TRIFR. That 12 months will taper off, obviously, based on our work to sustain that performance. But you can see that shift down. I think the other big standout here is the severity of injuries. Clearly, we want no injuries. We want less injuries, but we also want low severity injuries if they do happen. So there's less impact on people, less lost days. And that's certainly a very positive trend there you see in the orange line as that declines. The other point I wanted to call out on this slide was just the update to our ESG framework, which you'll see play out in more depth in our sustainability report that will be issued soon. And I think that captures or frames the way we think about the major pillars, valuing and protecting our people, which, obviously, speaks to safety, health and well-being and our people, partnering to create shared value, our socioeconomic contributions, mine closure, working with traditional owners and communities, transitioning to a low-carbon future. So thinking about climate and decarbonization and the impact of our operations. The fourth is driving our environmental stewardship through biodiversity, water, tailings, waste and non-GHG emissions and operating with integrity, business integrity, cybersecurity and a responsible supply chain. I really -- I just wanted to call that out something that's fundamentally in our purpose, a big part of who we are as IGO and how we do mining and how we operate in this industry is important to us. And this framework, I think, reflects what captures the key elements there that you'll see play through in the way that we make decisions and think about our presence in those operations. Moving on to Greenbushes. I've covered some of the headlines, but just to touch on a couple of additional points. As I said, the teams managed through some unusually high rainfall, particularly in June, which certainly affected them. That was compounded, I guess, or compounded with some lower grade ore that was available affecting mill recovery, throughput and so on, all resulting in less production than we probably anticipated, but still a pretty solid quarter. You can sort of see in line with Q3. But we still came in very close to the top of guidance for the year. And I think credit to the team there, managing issues that will come up from time to time through the mine, but still delivering a very good outcome. There's a significant amount of improvement work going on across the board. I'm sure there'll be some questions on that. Key areas of focus, naturally things like asset management and asset health work that the team is stepping through and mine productivity is the other big area, of course, we've also talked about. We're thinking about this holistically and the business under Rob Telford's leadership are thinking about that life of mine or life of asset optimization and how these threads come to bear. He's not waiting until all of that work is finished. He's getting on with the obvious streams of work and I think delivering good outcomes. The last comment I'd make here is just on costs. Team did a great job. Came in for the full year with a great cost result. It is an amazing ore body, and it does make that easier than most to deliver those outcomes. You'll see a reduction in our guidance, indicating a step-down. And I think based on the ramp-up of CGP3, which is still to come and that really -- we're expecting that first ore right at the end of the year with the ramp-up into '26. Based on the rate of ramp-up, we've obviously stitched our guidance around the financial year even though Greenbushes plans on a calendar year. So we've taken a view on that. We're not being aggressive with our guidance, but the team, naturally, there's some uncertainties when you ramp up any plant. It's certainly got a lot of capability wrapped around it. And given that it's similar to CGP1 and 2, we've got parallels that we can draw from. But all that aside, we need to let the team get on and do that work. And as you can imagine, based on that ramp-up, we will see some of the fixed costs diluted further, and that may then give us confidence to see those costs come down further just on the rate of production. But we're also going to see the team continuing to put downward pressure on costs through all the productivity programs and improvement programs across the business through the calendar year '26. Capital guidance. Look, I think, again, we're stitching guidance. We're trying to take in what we see in terms of completion of CGP3 and then various other projects across the business, tailings, other nonprocess infrastructure and, of course, stripping, which is a continuation. So I won't be able to go into intricate detail there. As you know, it's not something that we share in any specific detail, but that gives you a range of where we're thinking things will look. As I said, we're stitching trying to pick timing of CapEx across the financial year, which is difficult. So we do our best at this point to take a perspective on that second half even without a plan. And we'll obviously update as appropriate and as we did through FY '25. On to Nova. Great outcome. Great to see the team. They're really lifted, and I was so pleased for them to tip over the bottom end of the guidance. Obviously, I'm sure everyone was nervous and watching, and we were too. And we had confidence. The team had a good plan and they're executing, and we could just see them delivering day after day. It is certainly challenging. And I think anyone who's been through the work getting to the end of life or the edges of an ore body knows how much variability and extra challenge comes in. And they had some really tough moments in the first half. They've turned that around and delivered 2 quarters in a row, really good performance, and that, of course, turns out in nickel production, and obviously, the unit cost as well. Copper has also been up, and that's largely grade driven, but it's nice to see that we're recovering that and feeding that back into the market at these times. We've just updated our guidance there, which we've already sort of signed posted last quarter, 15,000 to 18,000 for nickel production, and that's through to the end of 2026. Let's -- we can dig, get into it further. But through that quarter, we expect production to stop. It's a reasonably flat profile through to the end. And I think rather than trying to pick it too tightly or separate this year, we thought it's better just to maintain that guidance given it's only a few months past the end of the financial year and the cash cost guidance obviously ties in with that. I've also mentioned closure planning. So that's really ramped up in earnest. We've got a very strong team focused on that now. One of our key processing managers has stepped. And he's now full time in that role. Zach's working through the efforts to have that plan and all the estimates in place. And that's something that's as important as how we run the mine as well. We really want to be proud of setting a great example in taking the business closure. On the lithium downstream and Kwinana, I mean I think maybe my first comment would be that, that part of the industry is certainly under enormous pressure. I don't think there's anyone globally, making much in the way of margins there or enjoying the period we're in. The operational challenges at Kwinana, of course, just compound this massively. And while we did see a lift in performance and production from Q3 to Q4, and that was signposted the team with -- they still just missed guidance that we put down, which we thought was reasonably conservative. We continue to have issues with equipment failure, outages, downtime, et cetera. And we, I guess, have been clear about it, our low level of confidence in the plant actually achieving sustained operational improvement and cost improvement, given the context that they're working in. I want to be clear, though, the team, there's no shortage of effort going in. I mean they're all in. They are working night and day. They're so dedicated to it, and it is a very, very challenging situation for them to work through those issues. I think beyond that, we've given you some guidance for next year. Again, it's a stitch. We think that's good for now, given what we see. Naturally, we're continuing to discuss and look at the future for the refinery and what's the best decisions we can take. On the financials, I might throw to Kath to just give you a few key reflections.
Kathleen Bozanic: We've had solid results delivered in the quarter in what is a challenging market. Operational improvements have been implemented as well as catch-up sales at Nova, which contributed to higher EBITDA of $59 million. There's also a positive contribution in our EBITDA from our listed investment portfolio this quarter. Our underlying free cash flow remained positive, albeit down from last quarter when we had the inclusion of a final tax refund during the period. This reflects the quality of Nova operations even as it comes to the end of its life. The balance sheet remains strong with $280 million cash with $300 million available from debt facilities, which we resized and extended during the quarter. As part of our year-end procedures, we've earmarked that we're still working on impairments and rehabilitation provision. And we've provided some information in our quarterly to help you with the estimate of the impact of this. Based on -- as Ivan has said, based on IGO's assessment of the refinery -- of the Kwinana refinery, we anticipate impairing the full amount of this asset. And the change from last or the half year is mainly about the forward look on commodity prices and the like. I think that's the financial summary, Ivan.
Ivan Vella: Thanks, Kath. Yes, we can dive into it more in the Q&A as we get into it. Look, on corporate updates. I won't spend long on this slide. We can pick up anything in questions. There's a note on our debt facility and capital management framework. I think what you'll see there with that kind of the details is just some real prudence. Congratulations to the team for stepping through that change and resetting our debt facility on a forward-looking basis. It's not drawn. It's not something that we depend on, but it's really just prudent to have that in place and give us that liquidity and flexibility. The Forrestania transaction, I've got a couple of comments. That's a work in progress, working really well with Medallion to finalize things there. And I think the teams, as I said they're working well together. There's lots to think through. It's a complex transaction given the history in that site and just making sure that we've gone through all the elements. And then on exploration, there's a bit of an update in our quarterly. Again, I won't run through all the details. I think summary points is, obviously, we've made the transformation and change in the organization, and that's now stabilizing. And the team is really finding their feet, which is great to see. Secondly, the rationalization of the portfolio is well progressed. We've actually completed rehab in the Fraser Range region, which is fabulous. Again, all credit to the team have just done that such a great job there. The Paterson, we're pretty much wound down as well and wound out of a number of JVs, as you've seen. We are focused on a forward-looking basis on several areas which have lithium potential, and we're very excited about those. We think we've got very prospective ground, but that's all work to come. And the generative team are out looking for the next areas to focus, and their primary orientation is copper. And as you signposted, I guess you've understood, we think that's more likely to be outside of Australia than inside Australia. So just a couple of points on exploration. With that, I might stop and we can jump into some Q&A and then come back and pick up any other points.
Operator: [Operator Instructions] Your question comes from Tim Hoff from Canaccord.
Timothy Hoff: Just around CGP3 and the ramp-up there. March quarter, I guess, you pointed to first concentrate at the end of the year. This quarterly report, you're saying first ore. Is concentrate still expected this year? Or is that likely to be a first quarter next year?
Ivan Vella: Look, yes, Tim, I haven't got a detailed plan in terms of that early stage. I think what we're pointing to or sort of relying on is that they'll get all through it by the end of the year. And then it's going to be a question of how long that first stage processing when we move from wet to dry commissioning, from dry to wet at least and start to ramp up. What we can do is once we've got more detail and work that through with our JV partners is give you an indication of what we think that ramp up looks like in the first half of next year.
Timothy Hoff: Okay. So is it fair to say that the guidance doesn't really include too much contribution from CGP3 then?
Ivan Vella: No, it doesn't. I mean we think there's some. And as I said, we're stitching our guidance. Obviously, the plan is done for the calendar year. We have to take a view on that period even though that's not complete. And so we like to make sure our guidance is set for the appropriate risk in mind, and we'll update accordingly.
Timothy Hoff: And then perhaps my last question there is just around the guidance. If we're having a look at the grade profile. Does it kind of imply that the grade profile was going to be flattish from where we are today or what was delivered in the last quarter?
Ivan Vella: No, I wouldn't say that. I mean we actually had a step-down in grade. You probably have picked up in Q4. It was down a little bit from the first 2 quarters in Q3, and it will come back up again. I mean it is a bit about where we are in the ore body. And as you know, that strip or pushback on that western wall of the main pit is progressing. And as you get down the floor, you open higher grade again. Overall, I wouldn't try and read through and draw that straight line across the current grades for the year. We do expect that through FY '26, we will have periods of lower grade, which I think we've allowed for in our plan, but I wouldn't suggest that's the life of mine or that's where we're headed.
Operator: Your next question comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: First question is just on CapEx and what's embedded in guidance for Greenbushes. How is that set? What is behind that? I think it's fair to say it was a little bit higher than some of the market were thinking. And what can you say about how we think about the go- forward capital costs or sustaining CapEx or spend on the business? It would strike me that this is a lumpy year. Is it more than just CGP3?
Ivan Vella: Yes. Thanks, Daniel. I sort of shared a few comments in my opening remarks. I can't get into specifics in terms of giving you a detailed breakdown. But the -- naturally CGP3 has got to be finished in that period. And tailings, TSF4 as an example, is there are some large pieces of nonprocess infrastructure that we've got to deal with. And I guess in terms of the profile, we're moving into another stage of expansion of the mine. And you've obviously seen some of the media and commentary around approvals for that. And as you can imagine, as we expand and grow the mine, which is obviously very exciting and healthy to do, that also comes with work around our infrastructure and associated support capital. And so that plays into the work that's ahead of us. That's probably my first point. Second point is I think Rob has worked through the capital portfolio and continues to and improve the rationalization and the justification for capital. You'll remember that we actually revised our guidance downwards for FY '25. And that was, I guess, the first signpost of that healthy focus on capital. I think that work will continue as we refine that justification and focus. And I think the other piece is capital intensity as well. What we get in terms of outcomes, scope for the dollars spent as another area of improvement that I know he's targeting. So I realize that you would all like me to give you much clearer guidance here. It's not something I can do at this point. We'll continue to work that through and maybe as part of the broader optimization, we can get to a place where the JV is comfortable to talk about a longer forward view on CapEx that would allow you to model that more accurately. But at this point, I just can't give you the specifics.
Daniel Morgan: Okay. And then second question is just relating to debt both in the vehicle, that's the Windfield or Greenbushes vehicle and then at the IGO level. Just on the Greenbushes debt, obviously, the cash flow is lower than everybody would have liked at this point. Is there any covenants regarding that debt? And do you need to -- might there be a capital contribution required from the JV partners? And then somewhat related, you've changed your debt facility, your revolver and the tenor is lower. Can you just talk about how that process worked with regard to the fact that you can't have surety of dividends coming out of your lithium business and your nickel business is winding down?
Ivan Vella: All right. Let me cover the first part, and then I'll throw to Kath for the second part on our IGO space because I think what you can see is this cash, obviously, at Greenbushes, their net debt position is pretty healthy. We want that business geared. The business is generating cash. It will continue to generate cash through the cycle. And I think we've got a pretty good track record there. The -- there's nothing more to see there. I mean that business is in control and doing a good job. And I think they're well and truly on top of their debt. The flow of dividends through TLEA to IGO is obviously a different story. And naturally, Kwinana is a draw on any dividends that come out of Greenbushes, which again, I think everyone's modeled and recognized. And obviously, the last step then is for money to come out to IGO. Do you want to maybe talk, Kath, to the change in the facilities, the update there?
Kathleen Bozanic: Yes. So from a facility perspective, we're about 12 months coming -- heading out to options and various things. We're a very different business now than we were in -- when we originally had that debt facility. And if you recall, we converted some of the fixed term to revolver at the time. We stepped back, had a look at everything from a business perspective and our strategy, and we determined from a balance that having a facility of the $300 million was more appropriate for the nature of our business right now. And obviously, there's a balancing act between the cost of the facility and having it there versus the size of the facility. We're very comfortable with what liquidity that gives us. And obviously, we also revisited our capital management program and reset our liquidity targets, which is again an indication of the shape of our business today versus when we set those things 2 to 3 years ago.
Ivan Vella: And so to summarize, Daniel, I don't -- there's nothing there that we've got concerned about. There's no sort of watch points for us. Of course, the flow of dividends out of TLEA is of interest to us as it is to all of our shareholders. And we're working on that, obviously, continue to focus on the performance of Greenbushes and reducing and minimizing it, obviously, targeting that cash burn on Kwinana. So that's all in focus. But we've taken all that into account. We've run the scenarios. We've got, I think, a very good forward view on what the world looks like under a range of scenarios, and we're very comfortable with our balance sheet and our cash or general liquidity, I guess, but certainly our cash holding as well.
Operator: Your next question comes from Austin Yun from Macquarie.
Austin Yun: Just a quick question on the capital management. I can see that the threshold has been lowered from $1 billion to $0.5 billion. Just trying to understand, does that indicate the company's thinking in terms of balancing growth and returns and will be more pivot to shareholder returns going forward? Also the second part of the question is, is that new threshold applicable for the past 6 months?
Ivan Vella: Let me just cover the first bit of that, and then I'll throw to Kath for a bit more detail. But look, we've -- I think we're not pivoted to shareholder returns. That's where we've been and always have and always will be. I think our capital management framework sets that out, and that's a clear priority for me. And I think the Board, I'm speaking for them. I mean they're right behind that. We have, as you know, paid out significant dividends in the last 5 years or so as a business. And we see some good recovery in the markets. So that's going to flow straight through as well. That's not what this is about. I'll let Kath speak again to the change in our debt.
Kathleen Bozanic: No, it was really looking at our business as it is today versus what it was 2 to 3 years ago. And so if you think about IGO today, we've got Nova, it's generating good cash for the next 18 months or so. And -- but $1 billion liquidity for what we are today with a rightsized and discovery-focused exploration team, mining operation that's coming to the end of its life. And therefore, we brought the liquidity threshold down to match what our business is. I don't think it's any more complicated than that, to be perfectly honest. And just backing up Ivan's comment there, it was 20% to 40% when under $1 billion. It still stayed at 20% to 40% under $500 million. So we haven't actually changed the shareholder return section of that apart from that threshold.
Operator: Your next question comes from Matthew Frydman from MST Financial.
Matthew Frydman: A couple from me. Can I ask the first question again on CGP3 production, sorry -- Greenbushes production guidance with respect to CGP3 ramp-up in particular. And understanding there's some apparent conservatism in there. I guess, as you've alluded to, because you just haven't set the numbers yet within the JV for the first half of next year. I'm wondering if there's any degree in that to which it's reflective of the JV's current thinking on how aggressively that you want to actually ramp up that asset, particularly in new asset in the current market. Clearly, we've got a precedent there in terms of how CGP2 ramp-up was handled. So yes, the question is, is there a desire there in sort of setting that Greenbushes' guidance for next year? Is there any desire in there to manage the market conditions?
Ivan Vella: Yes. Thanks, Matt. Great question. And a quick answer is no. That's not reflected in that. That is just our view on a risk-weighted prudent view on how that asset would ramp up. I'm not one for overpromising. And I think the guidance reflects that. And it's a judgment. Obviously, there's a lot of things that go into that production guidance when we're stitching a year that we don't have a full plan for. So we are naturally cautious. I think we showed in FY '25 that we got it pretty right. And I know there were calls for us to upgrade guidance. And we said, no, we can see through. We think we're going to land just at the top end, and that's what we did. So we wanted to continue to build trust and confidence that when we give guidance that it can be relied on. And if we see real case to change that, ideally upwards, of course, we'll let them know as soon as possible. But I think that's where we come from. In terms of your -- the part of your question into -- pushing more supply into an oversupplied market. I mean I think we're all aware of that. But naturally, the tonnes are value accretive in this business. It is such a high-quality mine and ore body and delivers such great returns on every tonne we produce. So I can't speak for that in terms of the whole JV. My view and my experience tells me that we should focus on a clean, stable ramp-up, do that safely, do that professionally and get the very best in the asset. And I'm pretty sure that's where Rob's heads at. That's how you get the best long term out of it. And if we look at CGP2, which went through, obviously, a very difficult start-up on and off. It doesn't help your asset long term. So the value loss from an overall point of view is magnified. And it's not just the missed tonnes. You actually, ultimately impact your business more broadly. So I certainly don't look at the business that way. And I think you have to start in such a high-quality ore body, asset first, production first and make sure that you're managing that in an optimum manner and not trying to further or play the market.
Matthew Frydman: Sure. That's pretty clear. And then second question, and look, apologies in advance if this comes off maybe is a little pointed, but it's obviously pretty frustrating to keep having to talk about poor performance at Kwinana. So if I understand it right, there's 5 Board members on the TLEA Board that includes yourself and Brett and an independent member as well. As of today, the IGO view at the very least is now that Kwinana is worth nothing. So I guess the question is that as a director of TLEA, how can you continue extending shareholder loans out to the Kwinana subsidiary when, at least internally your view is that, that asset is worth nothing? How does that meet your duties as a director of TLEA?
Ivan Vella: Yes. Good question, Matt. It's not pointed. I think it's very valid and clearly an issue that's at hand between the joint venture partners and the Board. I don't think it's helpful for me to get into much further. I think the issue is clear. And as you can appreciate, there must be different points of view on the future of the asset and of the business. My focus is almost entirely on making the best of Greenbushes, and we work extremely well with our partner with Tianqi on that. And Amal, of course, is the other partner at Windfield. The Talison team are doing a great job. Rob's turned out and I think stood up a new management team. Massive focus and the value to unlock there is enormous. Of course, there's an impact from the cash outflow at Kwinana, which we are conscious of and managing and working through. And those discussions are active. The focus is intense. I realize everyone would love clarity and detail and guidance, and there's a lot of views and support, I guess, for our perspective on this. But it's something we just have to be respectful and work through in a thoughtful manner, and we're doing that. We also recognize as an operating team at the site that we need to care for. They need to operate safely and do their jobs under the guidance that we're giving them from the Board. So I'm not trying to sort of steer away from your point. It's well made. I agree with it, and those issues are in front of us, and we're working through them.
Operator: Your next question comes from Rahul Anand from Morgan Stanley.
Rahul Anand: First one is just on the CapEx on CGP3. Can you remind me post-acquisition or post having the stake in Greenbushes, how much has the joint venture spent on CGP3 cumulatively to date, including next year's guidance, please?
Ivan Vella: Yes, Rahul, I mean, I don't have that number. It's not something we disclose on a sort of run rate basis. We did give an update. I think it was October, yes. Kath is nodding. So you could reference that, but we don't sort of give you a track on spend against that.
Rahul Anand: Okay. Well, I was just trying to understand sort of what we should think about CGP4 on the back of that? And then also, given that at the time of acquisition, that spend was supposed to be around $300 million, and then I think that went up to $550 million. The last time I heard of it, I just wanted to see sort of how we're tracking in terms of the budget that were set at the site. Just to help forecasting some of the CapEx to come in future periods.
Ivan Vella: Okay. At this point, we don't provide guidance on that sort of growth CapEx and growth strategy, which is sort of well out into the future. Naturally, CGP4 remains an option, something that we'll assess and consider and look at the business case for it. There's been a bunch of thinking and work done on it, but it's not at a point where we're folding it into guidance or direction that we can give you. I mean I think your observation on the escalation in CapEx across the board is well made, and I think that's industry-wide. What I would add to it is I equally bring -- while we recognize that and feel very uncomfortable with it, I equally bring a huge focus personally on capital intensity in the lithium industry, and you go right back to the strategy we talked about late last year. I think we've got a long-life asset, and we need to think about productive assets and getting best value from them at a business like Greenbushes. But equally, we need to make sure we're really spending money wisely there. And the CapEx intensity, I think, needs laser focus. It's getting more and more of that with Rob. I feel like he's brought a real step-change in the culture and the mindset there in the senior team, but there's still work to do to think that through. And then how that translates into the way that we scope and design a new plant and set the right balance on CapEx intensity against the value long term for that asset in the business needs a bunch of work. So I mean, all that said, I don't have numbers. I can't really give you a guide because we were not in a position to do that. But what I want to do is leave you with confidence that, that next stage of investment when that comes up and when we're contemplating that in the life of mine and in the optimization of Greenbushes as a whole, we will have a very intense focus on capital intensity to make sure that we're getting the best out of it regardless of the kind of massive returns you'd get from any increase in production. I'm sure you can run the numbers in the spreadsheet. That doesn't excuse us from just spending more than we should on it. And I think CGP3 came through at a different time and was probably signed off with a different context, also with different levels of escalation in CapEx through that period in the industry.
Rahul Anand: No, that's a point well made. Look, the second question is more around -- you've talked about how you've set your guidance today, I mean, in relation to CGP3, but then in terms of the broader business and having to stitch up that guidance. I just want to touch a bit on that just because, I mean, you're significant shareholders in the project, and you've obviously got a different reporting period. How much input are you getting from your partners in being able to set this guidance up? And if that input isn't, I guess, enough for you to have a high level of certainty with that guidance, doesn't it warrant switching to maybe a calendar year reporting cycle?
Ivan Vella: I'll let -- that's a good, great question. I'll let Kath answer that one.
Kathleen Bozanic: I'll sort of pass. We actually have looked at that in the past, and the complexity around changing reporting years is not as easy as it sounds. There's tax implications, there's accounting implications and all the rest of it. But I do think that it is a really good question, and we should continue to challenge that based on where we are as a business. So at the point in which we looked at it, which I think it was about 12 to 18 months ago, it didn't make sense, but I will endeavor to reopen that and revisit that as we should.
Rahul Anand: And I guess the first part of the question really was about how much support you're getting from your partners in terms of helping you set that guidance, right? I mean you are significant shareholders, you're on the board. So why not have a bit more of a dedicated process to being able -- for you guys to be able to guide to the market.
Ivan Vella: Yes. Look, I was about to pick that up at the end. I just was keen to -- Kath to deal with a more complicated question around our accounting period. I mean, look, the team are very forthcoming and helpful, very engaging. There's nothing held back there. It's just obviously when you're still planning a mine year-to-year, and you haven't done the life of mine optimization or haven't finished that work to get that full view to have greater confidence in the sequence, confidence in spatial compliance. I can go on and on. As we get more maturity in the way that, that business is run, I think this is going to get a lot easier. The other challenge is obviously the step-change we're making in the way that we think about capital. I believe Rob has brought quite a different mindset to that. His focus on where we spend it and how we spend it and the value we get for it is shifting and rolling through the business. We have team members who sit on the capital committee and spend a lot of time with the Talison team thinking about that. But that's an evolution. It's not something that happens in a one-off hit. And so all of these things, I think, do give us good inputs and good data, but we're not at a place where I think this has got the maturity and the confidence for us to then be really tight on this or take more -- I don't want to say risk, but take a stronger view. I'd rather just be thoughtful and prudent. And then as we build up that broader connection and that confidence in the performance of the business and the reliability of their outer plans, that will give us a basis to give better indications into the market. The last point I'd make is we're still work year-to-year. I realize you haven't had any real update to the overall model for a long time, and that's something that we recognize would be helpful, and that's something we will talk through with the JV partners to just help people understand what that runway for the business is. And that comes off the back of the optimization work that Rob is doing as he gets that fuller view, it will give him the ability to give us that big picture and do it with some real confidence.
Operator: Your next question comes from Levi Spry from UBS.
Levi Spry: Sorry, it's probably a name issue. But I just wanted to follow up on some of the port congestion issues that we saw from the first half of the year, which seems to have further resolved over the fourth quarter with a bit of a catch-up in sales. Just checking that there's nothing to sort of be wary of regarding sort of underlying logistical capacities or issues sort of moving forward and particularly noting with higher volumes from CGP3 later on and just what that sort of means for cash flow timing?
Ivan Vella: Look, quick answer is no. You're always going to have periods that are more or less productive. I think every port facility I've been involved with either operated or drawn on that capacity, I've seen these issues. It's pretty normal. I know Rob is working to improve productivity and improve the interface and the logistics, which gives us more comfort that we won't experience delays or impacts. Ultimately, we've got a pretty good inventory buffer in the system at Greenbushes. So it doesn't really create a lot of concern other than working capital, which naturally, we try and manage closely. But no, there's nothing more fundamental than that. It's just the normal work of getting the ships loaded and getting them out and managing the flow there. There are other users of that port facility. And naturally, there's points where you can just have a point of congestion or peak demand that can create some of those challenges.
Levi Spry: And just a quick second one, if I can, relating to the lithium industry support program. You sort of noted that there was continued benefit rebate during the quarter. Is there ongoing support in FY '26 and just sort of the quantum of that, that you expect?
Ivan Vella: Yes, there is. And look, thanks to the West Australian government for their support and encouragement and thinking about the whole industry. So we do benefit from that in TLEA, and that's very welcome. I can't disclose the specifics, but it's really quite material. I mean I think they deserve a lot of credit showing the commitment they have across the industry, supporting lithium and recognizing its future as a part of the West Australian mining industry.
Operator: Your next question comes from Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: Just first one for me. Greenbushes on your cost guidance. How much of anything have you allowed for CGP3 ramp-up spend in FY '26?
Ivan Vella: Yes, that's included. So I think the fact that it sort of inches down is to show you what's ahead. Obviously, as the fixed costs get more diluted as volume comes on, it's only going to head one direction. So that's in there. And naturally, we're encouraging the team to realize their productivity programs and continue to create downward pressure right across the property. CGP1 and 2 have potential upside in terms of throughout and productivity in general, recoveries, which are all in focus and then the mine productivity as well. You'll notice that the material movement through the mine has been increasing quarter-on-quarter. I mean they are making headway. And we don't headline it because it's still got plenty of work ahead, but it's nice to see that mine productivity just stepping up each quarter.
Hugo Nicolaci: Got it. And then just second one at Kwinana. What is the guided CapEx spend entail? And do you envisage needing to spend more than what you've guided in FY '26 into '27 to get to that target 90% utilization?
Ivan Vella: Yes. It's -- there's further modification to the plant anticipated in that CapEx. There is some sustaining CapEx, a small part as well. But the majority of that guidance reflects intended modifications and improvements to the plant to increase its ability to meet nameplate. And so naturally, that's guidance. And we'll treat that with a lot of scrutiny and make sure that any money that is committed is spent wisely. It's obviously part of a broader set of challenges at that asset.
Hugo Nicolaci: Maybe another way, I mean you're sort of, reaching periods of 50% utilization. What does the FY '26 spend get you closer to warn your budgeting?
Ivan Vella: Yes. It's not something I can give you, unfortunately, Hugo. I think there's probably more fundamental issues than that anyway. But yes, I'm sorry, I'm not able to give you the specifics on that. We've given you guidance on production, which implies a level of ramp up, and that's really all I can comment on.
Operator: Your next question comes from Jon Sharp from CLSA.
Jonathon Sharp: I'm not sure if you've covered these questions before, as I've jumped on a little bit later than usual. So apologies if you have. But just with the grade, was the lower grade in 4Q a one-off? I know the result wasn't far off the reserve grade, but it was lower than most expected. And should we assume softer grades in the first half or the first quarter going forward?
Ivan Vella: Yes. Thanks, Jon. No problem. We touched on it, but no problem to sort of just broaden that out. I mean it was lower as a function of a number of factors. Some of which was just unseasonable weather. They had a very, very wet period in June, which, of course, affects or sometimes affects access to ore and so on. So we've got a number of things that impact it. It is also going to swing like any mine through the year, the grades available. We think overall grade will be a bit lower in '26 on average, but not materially. And I actually said, look, don't take this and draw a straight line across. I don't think that's helpful or useful guidance in terms of what the team is expecting. They're naturally working down to open up some very attractive parts of the ore body, and they're just going to try and manage that in a more and more optimized way as they go and open up this business and drive the productivity of the mine.
Jonathon Sharp: Okay. And just a quick -- another question, just with Greenbushes. It remains cash generative even in the current pricing environment. I'm just interested is -- in your view, is the mine plan being sequenced to potentially preserve high-grade ore or maximize margins in volumes when prices recover. Just interested in how you're thinking about managing that trade-off in this part of the cycle?
Ivan Vella: No. I mean the -- that's -- it's a big operation and growing, and we will optimize it holistically, and that means for a stable production plan. It doesn't mean to sort of try and focus on high grade or try and play to that. It's just not something we need to do or should do. And ultimately, you will, in the fullness of time, destroy value doing that. So we very much want to make sure that we're thinking long term. What Rob is doing is actually lifting everyone's eyes and actually extending that horizon even further, which is great. And I know that's going to translate to downward pressure on costs in that aspect as he goes and ultimately deliver better returns. Naturally, we all want to see the price increase, but the value that we get out of every tonne today is still extraordinary. And I guess, just continuing what we control, which is the cost and driving them down is where we've got our focus.
Operator: Thank you. Unfortunately, that does conclude our time for questions. I'll now hand back to Mr. Vella for closing remarks.
Ivan Vella: Great. Thank you. Sorry, it looks like we missed a couple of people who had extra questions. I probably talked too long on a couple of those answers. I mean just to wrap up, I want to just go back to the operational and safety improvements across parts of the business I've talked to really encouraging to see that, particularly at Nova. So congratulations to the team. Greenbushes, what a stellar asset, continue to deliver outstanding margins right through the cycle. Lots of work ahead as we optimize that business and drive productivity. I think the scope for upside is enormous, but we equally need to back and work closely with Rob and the team, and I think the JV partners are all very aligned doing that work to get the very best out of Greenbushes and make sure we maximize value there. We've got a clear pathway to the end of life for Nova, set out the guidance, and we see cash flow generation through that period, reasonably flat production. There will be some ups and downs, as you'd expect, with grade and the stopes and so on, but we've got a tight plan looking forward on that. And then we continue to look at the future of the business and growth. And I think we've -- I've made a few comments around exploration, some exciting work there. We'll continue to be very prudent, thoughtful and disciplined about how we allocate funds outside of the core of our business. And naturally, that includes focusing very hard on the cash burn at Kwinana to make sure that we're addressing that as quickly as possible and give everyone a clear view on the world-class asset that Greenbushes is. So with that, we'll wrap it up. I hope everyone has a good day. I'm sure it's busy for you all with all the different companies reporting. Thanks for joining.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.